Operator: Good day and welcome to the Globant's Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Juan Urthiague, Globant's Head of IR. Please go ahead.
Juan Urthiague: Thank you, operator and thank you all for joining us today on our call to review our 2015 third quarter financial results. By now you should have received a copy of the earnings release, if you have not, a copy is available on our website, investors.globant.com. Our speakers today are Martín Migoya, Globant's CEO and Alejandro Scannapieco, Globant's CFO. Before we begin, I would like to remind you that some of the comments on our call today may be deemed forward-looking statements. This includes our business and financial outlook and the answers to some of your questions. Such statements are subject to the risks and uncertainties as described in the company's earnings release and other filings with the SEC. Please note that we follow IFRS accounting rules in our financial statements. During our call today, we will report non-IFRS or adjusted measures, which is how we track performance internally and the easiest way to compare Globant to our peers in the industry. You will find a reconciliation of IFRS and non-IFRS measures at the end of the press release we published in our Investor website announcing this quarter's results. I would like now to turn the call over to Martín Migoya, our CEO.
Martín Migoya: So thank you, Juan. Good afternoon everyone and thanks for joining us today. I'm happy to be here to share with you some important highlights that happened during the third quarter of 2015. We had another great period, as in the last quarter both our revenues and EPS came above the upper value of our guidance from the last earnings call. Our Q3 revenues were $67.1 million the highest quarterly revenue in the history of Globant and a solid 29.2% year-over-year growth. At the same time, the adjusted EPS for the quarter was $0.26. This robust growth was driven by the ability from our Studios to stay ahead of the industry to innovative in every project to help our customers embark on their digital journeys. We're perceived by the industry as a peer play on new and emerging technologies. And as a consequence of that position in, we're able to tap into strong demand environment that this new market is creating. Before diving into our financials, I'd like to share with you some of the trends that we're seeing. Over the last several years customers, employees and partners have become technology voracious users, sometimes with very high expectations. They move at lightning speed from one platform to the next consuming and generating lots of content in record time. They've decided to interact with these digital ecosystems anywhere demands that today's business create personalized, seamless and frictionless experiences that appear genuine and create value for its end users. Companies are starting to realize, that they're in the front of a new challenge. Garner predicts that worldwide spending on enterprise application software will grow 7.5% to reach $149.9 billion in 2015. Increasing to more than $201 billion in 2019, driven by digital transformation projects among other items. So organizations are looking for new ways to improve their ability to convert, retain and enrich their relationship with these customers, employees and stakeholders. In essence, companies are compelled to create what we call digital journeys. A sequence of smart, relevant and context aware interactions integrated with the core business of a company to provide a seamless journey across the different touch points with users. These digital journeys are a new kind of technology driven content that creates an emotional connection between users and brands. The digital journey goes far beyond creating a new website a flash app or a unified omnichannel experience. It's even broader than thinking about digital transformation. Today's technology voracious consumer can see right through this. They won't be satisfied until they feel a smarter and deeper brand connection. And it must be done, within the proper context. The end goal is to construct memorable experiences that are differentiated and personal. And this is what, we have been doing during the last year's at Globant. And we became experts on dreaming and building digital journeys that matter to millions of consumers. This approach leveraged our knowledge in bringing together engineering, innovation and design to create memorable experiences that are personalized, time-sensitive and context and location aware, through big data and fast data. We build these digital journeys based on three main pillars. First of all, our studios. Which as you know, our deep pockets of expertise that focus on a specific domain of knowledge such as cognitive computing, wearables and Internet of Things, big data, UX, gaming and more. Second our unique methodology call our shell [ph] pots, a group of multi-disciplinary teams that are encouraged to mature by improving innovation velocity, quality and autonomy and this way becoming more align with our customers need overtime. The last pillar is a brand new idea and is the one that I like to focus today. It is called services over platforms. A new concept for the services industry, which allows digital journeys to be created in a faster and more innovative manner. Let me go deeper into this concept, the services industry has two different kind of players. On one side the company that provide customized services in general charging by the hour. They produce a fully customized product but although they have the frameworks another development acceleration tools, they don't leverage allowed [ph] on platforms and their growth is connected mainly to the headcount increase. On the other side, we have the software as the services companies. They sell a software product that is hosted by them that you cannot customize for your specific need and you need to adapt to that. They provide some API, so if you hire the right consultants, there is some opportunities that you can adapt that software to your needs, but the owner of the software product is not responsible for those modifications. They charge you at cost, per user, per month or cost per transaction or something similar. In the middle of this two kind of vendors. There is an opportunity to create a new category and it is what we call, services over platforms. In this new category, Globant will provide some specific platforms as a starting point and then we will customize them to the specific need of our customers using our service force. Instead of charging these in the traditional way, we'll charge it in the same way software as a service companies do. A cost per transaction or a cost per user per month. So the main difference here is that Globant will provide platforms and a final totally customized to the need of our customer and we will charge it per user, per month. It is less likely, that a traditional software as a service company provide a customization for the specific need that the customer wants. It is important to remark, that all our studios will keep on building and dreaming digital journeys for our customers in the same way, we have been in the past. But now, on top of that we have the opportunity to accelerate the growth and the development using some platforms and our services, our platform strategy. Today, we're releasing our first platform that belongs to our services to our platform strategy. The first one we're releasing is called our digital journey mobile platform. A product that combines social media, gaming strategies, mobile technologies, big data and more to augment experiences before during and after at touch point with a consumer. This product offers organizations the possibility to create a mobile experience in a very rapid way. Our new mobile platform is constantly learning from users behaviour and in milliseconds can trigger personalized and simultaneous experiences based on their social profile and actions. This mean that, depending on the users choice the platform delivers in real-time a unique set of exclusive content relevant to them, which will help maximize the collective experience and generate a stronger and emotional tie with the brand. Lastly, by taking advantage of gaming and gamification tools, the digital journey mobile platform promotes motivation and collaboration between users. It creates a social environment that is exponentially amplified thus improving engagement and user interaction with the platform. This platform comes from an initiative in which we invested two years ago. After this time, they became the leaders on building mobile experiences for live shows and sports in Latin America. We will continue charging the use of this platform on a per user, per month basis as they have been doing in the past. We believe that, services over platforms compliments our services offering and offers us a good opportunity to the couple, even in a more efficient way revenue growth from [indiscernible] growth. And this is the first platform of a series that we're working on, that will be release in the future as they're ready. To some up our vision about this new paradigm, let me share with you that last week. We held our first Con.Verge Conference in San Francesco. We gathered speakers from companies like Pinterest, Turner, Autodesk, Nat Geo and Technicolor to discuss digital journeys and how technology and design are changing the way users interact with brands. During these two days, we brought together executives and professionals to talk about the future of businesses and define the next steps for companies to stay ahead of the curve. We had an excellent experience that we hope to repeat next year, with a new addition of Con.Verge. Now let's talk about our pipeline and backlog. They both remain strong with several long-term projects with our current customers and a number of high potential new customers. Some of new brands that joined our portfolio like [indiscernible] come from a wide variety of industries looking to integrate their business into new experiences that would help out track and retain their users. One example of the impact that our services can have on our customers can be seen in our work for True Network. They economically phone and lifestyle and brand has been our customer since 2014. When they approached us to reinforce a better alignment with its equal merge objectives. To do so, they needed a new partner to provide a better digital journey for their customers, so we started to work on improvement and continuous evolution of its ecommerce platform. As a result, True Network has increased its online business by 30% overall and so a 40% increase in revenues from January to June, 2015. This is a great outcome and we're extremely excited and proud to have taken part of such an amazing project. To finish with this summary of Q3, let me share with you that during the last 12 months we'll render services to 343 customers and True too, announced that for the first time in the history of our company, we have one customer in excess of $20 million in annual revenues based on the last 12 months. We now have five customers with annual revenues in excess of $10 million. With that, I'll turn the call over to Alejandro Scannapieco our CFO. For a detailed financial review of Q3 and to provide guidance for Q4 and full 2015. Alej, please?
Alejandro Scannapieco: Thanks, Martin. Good afternoon, everyone. I'm going to spend a few minutes taking you through the third quarter results and summarizing the nine months year-to-date as well. Then, I'll discuss our Q4 and full year outlook. As detailed in the press release, we both did a solid third quarter in terms of financial results. With revenues, at a record level of $67.1 million implying a 29.2% year-over-year growth and $0.26 adjusted diluted EPS compared to $0.25 for the third quarter of 2014. This strong revenue growth was primarily driven by deeper penetration in our top accounts and healthy growth in some high potential non-top 10 accounts. Our largest customers grew is planning 96.5% compared to Q3, 2014. We can clearly see a turn where many corporations in a wide variety of industries are deciding to digitalize their businesses following the increasing demand from their consumers, so that they engage with them through new digital channels. We believe, Globant is in a great situation to tap into this opportunity as our company has been at the forefront of all this emerging technologies. Additionally, during Q3 we added a number of strategic accounts to the portfolio including one of the largest market research companies in the world and one of the most important banks in Canada among others. Finally, once again the vast maturity of our third quarter revenue was generated from customers that were already working with us in the prior year. For the third quarter of 2015, our top one customer represented 13.4% of total revenue, top five customers represented 33.2% and top 10 customers represented 45.9% of revenues compared to 8.8%, 29.2% and 46.2% of revenues respectively for the third quarter of 2014. Our top one account Disney continues to deliver remarkable growth as we're now working on new projects and new divisions. We believe that our portfolio is well diversified for a company of our size, with our key customers that could drive sustainable growth over in the next five years. Compared to the third quarter of 2014, average quarterly revenue per top five customer increased 47% to $4.5 million and average revenue per top 10 customer increased 28.2% to $3.1 million. We're very pleased with a strong growth we're achieving in our top and strategic customers. This reinforces, our value proposition and give us a robust base to growth in 2015 and onwards. During the third quarter of 2015, 84.1% of our customers were in North America, the US as our top country, 11.5% in Latin America and others, Chile our top country and 4.4% were in Europe, UK top country. Our top three industry vertical for this quarter were media and entertainment with 26.4% of revenues, technology and telecommunications with 20.9% of revenues and travel and hospitality with 15.1% of revenues. We continue to be pretty much balanced across different verticals. During the third quarter of 2015, 93.3% of our revenues were denominated in US Dollars and this is highly positive given the strength of the US Dollar around the world. As mentioned before, our third quarter revenue amounted to $67.1 million, which imply a 29.2% growth year-over-year. Following with the rest of the P&L line items. Our adjusted gross profit for the period increased to $26.2 million, so a 9% adjusted gross margin compared to $21.3 million, 41% adjusted gross margin in the third quarter of 2014 and $23.4 million, 38.7% adjusted gross margin in the second quarter of 2015. Despite a decrease versus last year, adjusted gross margin increased 30 basis points sequentially. The margin decrease versus the third quarter of 2014 is explained mainly by two factors. First, Q3 2014 still had the positive impact of 23% evaluation that occurred in Q1, 2014 in Argentina our main development center. Second, we maintain a stable and continuous investment across the studio to keep up with the demand of our customers. We develop multiple training programs to a large number of Globers around emerging technologies, making sure that we remain on the forefront of digital trends. The margin increase versus the second quarter of 2015 is primarily driven by price increases. Adjusted net income for the third quarter of the year totalled $9.1 million, 13.6% adjusted income margin, an increase of $0.8 million or 9.4% to the third quarter of 2014. During this quarter, we manage to dilute SG&A further by 70 basis points sequentially or 60 basis points compared to Q3, 2014. While at the same time, we continue investing in heavily to increase our own site coverage and as such, added a number of technology eventually [ph] [indiscernible] salesforce in the [indiscernible] efforts. Adjusted diluted EPS for the quarter was $0.26 based on $35.1 million average diluted share for the quarter increasing from $0.25 a year ago. Now let's move on to the balance sheet. Cash on investments as of June 30, 2015 increased to $73.6 million compared to $62.2 million as of December 31, 2014 and borrowings decreased to $0.8 million from $1.3 million at the end of last year. Our balance sheet remains strong with current assets of $139 million, accounting for 66.6% of the company's equity. Total shares outstanding as of June 30, 2015 were $34.1 million common shares. Moving onto the nine months ended September 30, 2015. Revenue for nine months ended September 30, 2015 was $182.2 million implying a 26.1% year-over-year growth. Growth was boosted by top customers and new customer wins as our portfolio of high potential customers continues to grow at a very healthy pace. For the nine months ended in September 2015, our top one customer represented 12.1% of total revenue, top five customers represented 32.4% and top 10 customers represented 47.1% of revenues compared to 8.7%, 27.7% and 43.6% of revenues respectively for the nine months period ended September 30, 2014. Revenue for the top one customer increased 74.4% from the same period last year. Average revenue per top five customers increased 47.3% and average revenue per top 10 customers increased 36.2% compared to the same period from last year. Finally, revenue for non-top 10 customers increased 18.3% compared to the same period last year. We're very excited that our top customers can see the value we provide and decide to amend our mutual relationship on a steady basis. Adjusted gross profit for the nine month period was $70.6 million, 38.8% adjusted gross margin, an increase of 18% year-over-year. Gross profit is growing at the lower pace on revenues given the positive tailwind of the significant Argentina Peso depreciation that impacted in 2014 and the high level of investments we're executing in our studios and emerging technologies. At adjusted SG&A level, we're achieving a healthy 50 basis point dilution compared to last year. Adjusted net income for the nine month period ended September 30, 2015 was $25.3 million, 13.9% adjusted profit margin. Adjusted diluted EPS for the same period was $0.72 based on $35 million average diluted shares for the period. We finished the quarter with 4,724 Globers. 4,327 of which were IT professionals. Attrition in the last 12 months ended in September 30, 2014 amounted to 18.4% compared to 18.2% as of June, 2015 and 19.9% a year ago. To wrap up, I would like to share with you our outlook for Q4, 2015 and for the full year ending December 31, 2015. We continue to experience a strong demand for our services from the market place and we also see great traction from our strategic accounts. We believe that during Q4, we will be able to deliver analyst [indiscernible] of financial results both for revenue growth and profitability, while we continue investing in our people for future growth. Based on current visibility, we're increasing our expected revenue for 2015 to be between $250 million and $252 million, implying a 25.9% year-over-year increase at the midpoint of the range. As we said in previous calls, our 2014 gross margin was amounted on highest at 41%. For 2015, we continue to expect gross margin to be below 2014 but align to historical ranges. Mainly due to sound investments in our operations and studios and some affect headwinds in Argentina, which will seek to offset at the net income EPS level by some SG&A dilution and the continuity of our current FX hedge strategy through the gains from borne operations. Adjusted diluted EPS for the year is now expected to be in the range of $0.93 to $0.97 assuming $35 million average diluted shares outstanding for the full year. Turning to our guidance for the fourth quarter, which is also embedded in our full year guidance. We expect revenue to be between $68 million and $70 million and adjusted diluted EPS to be in the range of $0.21 or $0.25 assuming $35.3 million average diluted shares outstanding for the quarter. Thanks to everyone for participating on the call and for your coverage and support. Let's please now move to the Q&A section of the call. Operator, can you please queue questions? Thank you.
Operator: [Operator Instructions] and our first question comes from Tien-tsin Huang from JPMorgan. Please go ahead.
Tien-tsin Huang: I - really surprised and or pleasantly surprised to say, by the top customer growth. So I'll ask the - how that came in versus planned, how sustainable is it, can it still growth sequentially although, not the normal questions you might get on. It seems such a big growth from one customer.
Alejandro Scannapieco: Thank you, Tien-tsin and this is Ajejandro. Let me take the first one. We're seeing great traction, with our largest customer that as you know is Disney. I think we're now also expanding into new divisions within Disney, you know that we started with the WD product division and we're now working on several other divisions. I think that, the first project that we run with them was extremely successful, they're expanding that same project. But we're also penetrating other divisions. I would say clearly that, we see that the level of penetration, the level of revenue that we have with Disney and the level of growth that we have with the largest customers sustainable. But having said that, I think for this quarter. We have also seen a very nice growth of the non-top customers. If you take customers 11 to end, those customers are growing 30% in the quarter. So I think, it's a combination of the great traction of our largest customer. But also, we're executing on the strategy of diversifying the customer portfolio and having that prioritization and allocation of people and the most qualified resources that we have into some of the add a key strategic accounts and that's fading away, that's fading off.
Tien-tsin Huang: Okay, now that's great to hear and then just. I think on the pricing side, I think I heard you mentioned that, you made some positive adjustments there. What's going on with pricing and bill rates in general?
Alejandro Scannapieco: They're increasing a little bit. In general, we went through from $62,000 to $63,000 year. So that's good sign too. We have been sustaining and maintaining that increase in a pretty sustained way, during the last year. So as I'm pointing this quarter. Maybe you go down a little bit and it went down when we acquired Clarice Media. But now we're stuck again into $63,000, so we're in good shape there.
Martín Migoya: I think, Tien-tsin, if I may add. It's easier for us to get better rates, when we get into new businesses and some of this difficult journeys that were building up to our customers. Also in some of the cases, it's also the maturity of the cost that allow us to charge higher rates. When you start moving from level one to level two and further to level three, we get increasing the rate so. So despite of the fact that, that it still supports are not massive, they're growing. So that's definitely a tailwind in terms of pricing.
Alejandro Scannapieco: And the other thing is, the services of platform strategy has not kicked in again right now, but it will in the future. So we have another very nice way to try to increase that revenue per head not from anything about, not from in the next couple of quarters. But we think that, that we're also have a push in our revenue per head because that growth totally been coupled from revenue headcount.
Tien-tsin Huang: Yes. Now that's a healthy trend. So maybe, I'll just ask one more and then just on the services of our platforms commentary, Martin. Just on the pricing of it, just generally speaking how do you approach setting price or benchmarking price with something like, you call the digital journey but just over several platforms in general. Thank you.
Martín Migoya: Well, in general if you're talking about a program of several projects that include a digital journey, one with our traditional pricing and we got with a fourth model and the traditional pricing. Sometimes within those journeys, we use some elements that are connected to our platforms. All right. In those cases on top of the traditional revenue that we charge for our reports. We're charging a cost per user, per month. And normally, what we do is, we charge the first year in advance for example and then, what we do is, we need to do some customizations from top of their original platform, we increase the value of revenue that we get per month, per user. Let's say instead of being X, it's X plus 30%, 40%, 50% or 100% depending on the customizations we need to do. So that's a component of services or the platform. It doesn't mean that we will do, all the digital journeys with their service over platform strategy. I mean, there is a platform would be just a part or portion, hopefully we'll be increasing quarter-after-quarter. But the core model of revenues that are generated are on cost, will be continue happening.
Tien-tsin Huang: Okay. Interesting.
Martín Migoya: Is that clear?
Tien-tsin Huang: It is. Interesting. Thank you. Appreciate the update.
Martín Migoya: Yes, one more thing, that I [indiscernible] to clarify. This services our platform strategy is fitted in the middle of the two worlds, of the software as a service and the traditional customized services. That's why, we believe that we're creating like a new category of services provision. We're using the platforms but we're also taking care of the customization with our services arm that needs to be on top of that. And then we charge the whole thing on with the same way software as a service does. So I think that's a brand new thing, we're bringing into the market and it's important to remark that.
Operator: And our next question comes from Ashwin Shirvaikar from Citi. Please go ahead.
Ashwin Shirvaikar: I just wanted to ask, if follow-up question on this service or platform because it sounds very interesting. But I was a little confused as to whether this is a new way of provisioning and pricing existing services or is there also underlying technology change and then maybe you could provide an example of specifically what digital journey mobile implies to make that clear?
Alejandro Scannapieco: Sure. No, it implies a strong technology in the back end. It's not just pricing this in a different way, we have built that mobile digital journey platform and now, that platform have almost 2 million that are using that platform here in different places in Latin America and we're expanding that business into the US, with many different customers. So it's not something, if we're announcing it, it's because it means something that is really concrete. It has technology on the back and that technology is being charged in a different way, than what we were doing before. That doesn't mean that we're becoming a separate service company. No way, all right. We're still a services organization and we want to be that. The only thing we want - it's not written anywhere, how you provide those services. So we believe that every day, there is more and more platforms and things that can be deliver in a smart way leveraging technologies that we already have and charging them in a different way. So that's the opportunity we're seeing to combine the world of services industry, with a world of software as a services company. I don't know if that explains your question, but let me know, please?
Ashwin Shirvaikar: It does, it certainly helps clarify one of the points that I was looking for. Now that's very interesting. The follow-up becomes, it's existing. It has a lot of users in Latin America, when you bring it to new geography say in the US. What sort of investment do you have to make to make that the reality here?
Alejandro Scannapieco: No, we don't think it's very different. I mean, what we built here in Latin America it's a platform which is absolutely manageable, absolutely adaptable to the needs of our customers. So we don't expect a huge investment on that specific platform. It's a very small group of people with very high yield. So what we think is, this is a disruptive technology what we're bringing to a table in a disruptive mode. So now we need to expand it into the US, investments yes on the sales side to be able to sell it into more customers there, but not big changes in terms of the technology underlying that.
Ashwin Shirvaikar: Absolutely, can I ask headcount question? The last quarter and this quarter. There has been a very high growth in your headcount and I'm just kind of wondering, as we look into 2016, is that just basically a lag before that sort of headcount growth translate to revenue growth or is this a mix issue where, the headcount is increasing at a faster pace, but it's just placed in different geographies, where that kind of growth may not follow?
Alejandro Scannapieco: No, definitely this is the consequence of ours. I mean, there are couple of factors, there Ashwin. First, we acquired Clarice in India in Q2, so definitely that's one of the factors. And India is growing nicely, that's first factor. The second factor is, definitely this is the effect of our decentralization strategy as you know. We have been playing globally over the, probably the last couple of years but very intensively and very aggressively this year. So we're growing in places like Mexico, Colombia, Brazil, Peru and US very, very aggressively. So I think the fact that we're also decentralizing Argentina. Argentina, it's now 59% of our cash cost. Used to be three years ago, 90% of our cash count is six months ago. It was more than 68% of our cash count. So definitely the strategy behind sourcing in different places, where we can find that the talent that we need, train that talent and put that talent up to speed into the studios, that's also costing us to be very aggressive in terms of hiring the candidate. We have the demand, the pipeline is very strong. We have the opportunities. So definitely it is pretty much about hiring, training, the talent, sourcing the talent and keeping up with the growth.
Ashwin Shirvaikar: Okay, that's great and the last question is, just an update and we've talked about this in the past, but I just want to make sure nothing has changed with regards to post-election in Argentina, how we should look at the export settlement line going forward?
Alejandro Scannapieco: You know that elections went into ballot box. There is going to be a ballot box between the former Governor of the Province of Buenos Aires, he's running for the Scioli [indiscernible] and Mayor of the City of Buenos Aires. They're running as opposition. The result in the first round came as a surprise everyone was expecting especially Scioli probably to take a bigger lead. So now they're kind of heading into a tough competition, the ballot box is in two weeks. But anyway, we think they completely understand and they need to take some measures to normalize economy to open up the economy and to fix some of the restrictions that are in the country. We're not fortune tellers, it has to tell where they're going to be measures, either way we think we're going to be in a very good position there. Again we have our revenue stream in US Dollar, our cost stream in local currency there is a lot of fracture in the official exchange rate in the country. So either way there is going to be likely an assessment on the official exchange rate and probably that diminishing the stretch on between the official exchange rate and the market rate or if they take a more gravel approach, I think the spread between those two rates, it's going to play there. But it's going to put more pressure on the candidate that takes the President, but we will see very soon.
Ashwin Shirvaikar: Okay, good. This is good job guys. Thank you.
Operator: And the next question comes from Anil Doradla from William Blair
Maggie Nolan: Hi, guys. This is Maggie Nolan in for Anil Doradla. I had a question about your total client count. It looks like, it just decreased but one from last quarter. So I'm wondering, how many customers you added and then how many lost? And then is this reflective of your strategy of identifying some more high potential clients and then focusing in on those, any additional color around this would be great?
Alejandro Scannapieco: Hey, Maggie, how are you? It's 100% related to that. We're definitely shifting our strategy in terms of focusing into the customer's with the largest potential. We think we have, a big chunk of customers. We think, we need to have more of a qualitative approach to our customer list. I think it's smart in terms of aligning up our resources in terms of dedicating the best of our studios to the customers that represent the highest potential for Globant. So definitely and as we said, couple of times. If you expect our total number of customers to take flat or even to go a little bit downward because of this strategy. We're very happy with some of the new logos that we're adding and also, with the growth that we see in some of the key accounts and the name accounts that have a great potential for Globant. I mean, we have roughly 40 Fortune 500 companies in our customer portfolio. So definitely there is plenty of room to grow in those, customers. We need to conscious and responsive in the way that, we assign our resources and our best people within the studios. So the number of the customer, the total number of customer consequence of that.
Maggie Nolan: Okay, great and then a follow-up question. I'm wondering, how we should think about margins over the long-term it looks like they were little compression, the first half of the year and then expanded some of this quarters. I'm wondering, what the trajectory for that is over the long-term.
Alejandro Scannapieco: I think margins are going to be within their historical ranges. We have been running between 38% and 40% last year, it was higher with 41%. I would say, we're going to be within the historical ranges this year, as we said. There were some effects headwinds coming from Argentina because of the official exchange rate being essentially flat, where our rate inflation was at the higher take. But on the contrary, they were positive signs from the other Latin America countries, where effects was a tailwind for us. Also we added India that kind of blended the average cost per [indiscernible] for the company. So I would say that, in the long run we're going to keep up with the historical ranges. Definitely there are opportunities with the studios and some of the developments on the digital that we can charge better. At the same time, we'll keep investing in our studios. We'll keep investing in our capacity. We're in the strictest part of the demand and now also, we're going nicely. So we want to stop investing that's a very important milestone, but having said that, we'll try to manifest we have done historically the margins between those ranges that I already mentioned.
Maggie Nolan: Okay, great. Thanks for taking my questions.
Operator: And the next question comes from Avishai Kantor from Cowen & Company. Please go ahead
Avishai Kantor: First question, is the growth in Disney driven by market share gains or growing as rest of the market or is it the combination of both?
Alejandro Scannapieco: Hi, Avishai, this is Alejandro. I think it's a combination, but we have won a privilege position in that account. I think we said that, they decided to narrow down the list of vendors that they have, we're in the selective list of vendor that remains and then we started funding into some other divisions. So we're gaining share, we're the largest vendor in terms of mobile and digital. I think it's a combination, but definitely it's having reinforced, our position having gained the trust of Disney overtime and we're growing nicely with some other division with Disney because of the work that, we did originally with WD product.
Avishai Kantor: And then the revenue mix from Europe was down obviously because of Disney, can you contemplate a bit about this prospects going forward especially following the Clarice acquisition?
Alejandro Scannapieco: Yes and that's a fair question. I think, Europe that as you said probably from the mass perspective. The dilution is pretty much related to the traction of the largest customers. But we have been revamping, the whole business unit for Europe, we have set up a new team. And we're very confident that team is going to bring more opportunities in Europe. Europe remains as a challenge for Globant, but now we plan to leverage not only on these new team seeking for opportunities and enhancing for new customers in Europe but also to leverage on the delivery center that we have in India. So we already have a number of opportunities that are raising and are growing in the pipeline. So we're confident that Europe, it's going to become a larger part of our revenue stream in the upcoming quarters.
Avishai Kantor: And the last question. I mean, I know we don't know because we don't know obviously the outcome of the elections and what the candidates are going to do, but assuming not devaluation should we assume that the gains on transactions on bonds transactions will remain about the same rate?
Alejandro Scannapieco: Yes, the answer to that is, yes. If the new government decides not to devalue, that I think it's a tough call because of their lack of central bank reserves. They decide not to devalue, they will need to either keep restricting their flow of funds into country and that's making the economy into a bigger recession or otherwise big for funding. So nothing, if happens definitely the spread is going to stay there.
Avishai Kantor: Thank you very much.
Operator: And our next question comes from Jason Kupferberg from Jefferies. Please go ahead
Amit Singh: Hi, guys this is Amit Singh for Jason. Just wanted to get a little bit more clarity on the penetration level in the top five clients. Your top five clients represented around 25% showed your revenues back in 2013 and now they're above 33%. Just talk about a little bit, how much penetration potential is remaining in these clients because obviously the last two years, a lot of the top line growth has been driven as you've penetrated along these clients. So just wanted to check, whether you can continue growing the revenue that this client, at the rate that you have in the past few years.
Alejandro Scannapieco: All those five top customers are big companies, with big investments in technologies in many different parts. So, I would say, that we're just scratching the surface of the growth that we can have within those accounts, if we do the right thing. I think as time passes and we get the confidence of those customers. We're engaging more and more prospects, some of the developments that we have done for those customers keep evolving and that's a big and a massive opportunity for us in terms of keeping up with the growth. So and sometimes, it's also being able to penetrate further with the value proposition that we have with different studios. So sometimes and let me provide you with some examples. One of the top five is a probably one of the largest airlines in Latin America. And we just, [indiscernible] simply by working on their crew management system and some work that we have done in terms of the online ticketing. But we're now working in five different divisions within the same company, five different projects within the same company and some of those projects are once a year projects, massive project. So I would say that the nature of our Globant desk [ph] keeps penetrating the customers, its' usually revenue related or customer related so that's a good benefit. I mean, many companies decide to sometimes accommodate batches and shifts batches from the traditional teams to these new bucket and that's definitely the cheapest for us because we can clearly see that the companies are now cutting the spending. Sometimes they're reallocating batches from one place to another. We see a very, very nice and a strong demand on those top five customers and definitely the room to grow there is massive.
Amit Singh: Great and it's just great that the top five clients are, the revenue and the penetration is increasing, but like you said you recognized that increases your client concentration and maybe add some risk and then you talked about, trying to penetrate more in the clients outside of top 10. But that strategy of client broaden your reach, will that change anything in what you're doing in your sales and marketing effort, would you have to make any additional investments over the next few years or is there anything changing in your strategy over there?
Alejandro Scannapieco: No, it's a fair question and definitely we're making kind of a strategic investment in our salesforce, we're kind of splitting the salesforce on working on the quality of the salesforce to attack both fronts. In the case of the customers that are already penetrated. I would say it's pretty much about having more people on-site, having more [indiscernible], that we created this all of, that we call [indiscernible] that our people that are pretty much working together with the customer and with the salesforce and with the client account partners, that are working directly with the customers. I would say that part of the salesforce is more inside the customer and working on forming the relationship with the customer and that weight, we penetrate further and we grow those customers. On the other side, we've also framed a number of accounts within the top 50 accounts that we want to grow. And for that definitely the sales approach is little bit different. We're kind of mixing, different strategies there. We're also sourcing sales people from the armlet some of those people coming from very well-known companies on the IT sector, that feel attracted by the value proposition that Globant has. So that's, another good news on that front, we have incorporated only in this last quarter, six people in sales and we reach 50 people in the sales organization. So I think it's a combination of both things, but as you said. It requires a slightly different approach, but I think we're very well diversifying in terms of revenue. We're very well diversifying in terms of the opportunism that we have in within the top 50 accounts. So you should expect that mix to change a little bit, but of course we'll keep up with the traction among the largest customers.
Amit Singh: Great and then just last one. I mean you've done some tuck-in acquisitions in the past, but going forward. Do you see any need for boosting any specializations within your core offerings, any geography that you want to go after that you think could benefit from any other tuck-in acquisition feature?
Alejandro Scannapieco: We're constantly looking into that. Into those type of acquisitions that may have some new technology for us, that would allow us to penetrate further into these services over platform strategy that we have just developed. So I think, we don't foresee large acquisition, we're growing nicely, organically. I think large acquisitions sometimes are tough in terms of integration. So definitely, we're looking into those type of acquisitions where we can add more technologies or we can initially attract some of these new technology or platforms into what we've already built. So you suspect that to keep into that line going forward for acquisitions.
Amit Singh: Great, thank you very much guys.
Operator: And our next question comes from Joseph [indiscernible] from Cantor Fitzgerald. Please go ahead.
Unidentified Analyst: Hi, I was wondering, could you talk a little bit about the competition at this point? Have you seen any changes in the players that you see on particular engagements and win rates?
Alejandro Scannapieco: Sure. I think, in terms of competition. We have in the past and continuous in the past and we don't get in our piece in many of our relationships. We usually compete face-to-face sometimes with some small [indiscernible]. In some accounts, we see some of the big players, it's not usual for us to face that traditional IT player. We do some of the big players there, that are trying to shift into this digital area and sometimes, we compete with them. And I mentioned the narrow list of vendors within our largest account there, we compete with some of the largest players in the IT sector, while we have the big chunk of the digital and mobile part, that we haven't seen a change on that. I think, we still get most of our customers because word of mouth and sometimes, we're selected because of the work that we've done for some other companies. I don't know Martin, if you want to add something to that. Okay.
Unidentified Analyst: Okay, I'll go with my next question. So I wondered, if you can talk a little bit about the labor environment, any thoughts about any changes. Particularly, domestically in light of the elections and then, are you finding it more difficult to skill or define the skill set that you're looking for just given the growth rates and the present nutrition rates?
Alejandro Scannapieco: That's a fair question. So, we don't see significant in the labor market in Argentina. Of course there is lot of that expectation in the country about the Presidential election and how that can change some of the things in the economy and in the way that, the country that's been behaving over the last 12 years. So, but on the labor market. I mean, the IT market here is very competitive especially in the City of Buenos Aires, in Argentina. But we've been able to source the talent in many different places. I think the fact that we decided to be more and more global and to source our talent in many different places, I think that has been the key for us in terms of growing and not being exposed to just one single country and the tough competition that we can face in Argentina. So we don't expect that to be an issue in the near future. I would say probably that, if after a new government takes power, they can control inflation. Definitely that's going to be a flat. Inflation is the big factor behind attrition because as you know, many people want to protect their acquisition power, so they decide sometimes to shift shops and definitely that's a boost on attrition, but having said that, with the definition [indiscernible] strategy. Attrition has been stable even 200 basis points below from last year. But I think so far, so good. We expect good things to happen, after a new government takes place in Argentina, but we need to wait.
Unidentified Analyst: Okay and then just last question for me. As you think over the long-term, how do you view the balance between growth and margins. It sounds like you're still focused in the short-term and right before selling the growth side of it, but when do you think you might make the turn to balance the two probably a little bit more evenly. I just want to get a sense of, where you feel like you're in the growth stages and when if, you think you might be looking to expand margins at all.
Alejandro Scannapieco: I think you should expect that to gain operating leverage, year-after-year. Definitely as I said, I mean we see gross margin as stable. There are a number of pulling forces there, definitely we're going to have more on-site people that might be a slightly decreasing trend in the margins. At the same time, we're decentralizing in many different places. India is also factor to offset of increase of the headcount in US, in terms of sensitivity of gross margin, but having said that we'll keep diluting SG&A. We have been nicely diluting SG&A if you see quarter-after-quarter 30 basis, 60 basis points if you compared to Q2, 140 basis points if you compared to the last quarter of last year. So I think probably going forward, you should see as diluting and diluting after year SG&A with the same level of investment, so that we keep up with the historical levels of gross margins. But that should be the story in the upcoming years. We may have some tailwinds coming from some of this strategy that we have to de-couple that revenue growth from the headcount growth and sometimes, that would be studios' value proposition, we're being able to charge higher rates at the same time. With their set off [ph] when we get into more mature levels, which are higher rates. I would say on and on and then there is, that comes into historical range for probably gross margins. But definitely opportunities to gain operating leverage in terms of operating margins.
Unidentified Analyst: Thank you.
Operator: And our last question comes from Arvind Ramnani from Gordon Haskett. Please go ahead
Arvind Ramnani: My question is on digital, so when you think of digital, sort of multiple kind of work streams. The first layer is sort of a customer layer, which requires technology and creative working closely with each other and that's something you'll do really well and then there is always sort of another layer, which requires integrating customer layer to core system of records and ensuring that these back into some work. The second layer probably has a little bit of significant spend, but probably the nature of the work is more traditional. So how do you'll approach sort of this second layer, which is a little bit more, if you were like a little bit more boring but also has a good revenue opportunity?
Alejandro Scannapieco: I think and that's a very good question. I think it's, we approach that from the perspective of providing, the most compelling digital experience to our customers. And if that requires, then we need to work on certain back end processes, we do it. It's clear that, we don't ambition and it's not part of our business work to on BPO's [ph] activities and some of those legacy systems. Sometimes we need to adapt some of the interfaces and some of the applications we build, with some of the legacy system. Sometimes the back end systems we have been doing on creative on digital platform, where we need to flag different and isolated applications that we're running in the back end of the system for the customer and flag that into some of this cool and classy interfaces and user experiences and we do that with no problem. We understand that some companies might have a troublesome, might be more troublesome to range from those legacy applications into this new digital applications. But definitely it's part of our work as well. We definitely seen that, companies are shifting into the other side. It's clear to us and are comfortable with that.
Arvind Ramnani: That's really helpful. just kind of second question, clearly, you're focused sort of on the US customer base, but kind of non-US customer base whether it's kind of Europe, is most of the revenue driven from referrals from a US customer base or you have kind of boots on the ground from a sales perspective, where you're proactively trying to expand your European business.
Alejandro Scannapieco: Yes, only a few opportunities in Europe are coming from reference from US customers. I would say US. Everything in Europe has been built up by Globant and the salesforce that we have in Europe. Again, as we said several times I think we're, that remains as a challenge and an opportunity for us. We think that, we have a bigger opportunity in front of that to develop the European market. We haven't been doing that successfully in the past but definitely it’s part of our priorities going forward.
Arvind Ramnani: Great and just last question on. If you think of your last year the same times versus this year the same time are your top clients is the and it's very early in the budgetary cycle. But are you feeling like slightly better or the same or slightly worse compared to last year, the same time when you start thinking about the next year?
Alejandro Scannapieco: No, I think we're in a better shape but from different perspectives, let me complement that answer. I think we're more penetrated in our largest customers. So that allow us to have better visibility of the project. Some of the projects are multi-year projects. So perhaps the feature to predict, what we might develop and the size of the business that we might get for those large customers, that's on one side. On the other side also the pipeline, it's very strong and very well diversified. We have built up very good relationships and added very nice logos into the portfolio. So definitely those are going to be driving the growth for 2016. So we're very comfortable, the way we're seeing the 2016 is going to be laying out. So we're very confident about next year as well.
Operator: And this concludes our question-and-answer session. I would now like to turn the conference back over to Alejandro Scannapieco for any closing remarks.